Operator: Greetings. Welcome to the Build-a-Bear Workshop Fourth Quarter 2023 Earnings Call. [Operator Instructions] Please note, this conference is being recorded.
 I will now turn the conference over to your host, Gary Schnierow, Vice President of Investor Relations and Corporate Finance. You may begin. 
Gary Schnierow: Good morning. Thank you for joining us. With me today are: Sharon Price John, CEO; and Voin Todorovic, CFO. For today's call, Sharon will begin with a discussion of our fourth quarter and full year performance and update the progress we have made on our key priorities. After, Voin will review the financials in more detail and provide our guidance. We will then open the call to take your questions.
 Members of the media who may be on our call today should contact us after this conference call with your questions. Please note the call is being recorded and broadcast live via the Internet. The earnings release is available on the Investor Relations portion of our corporate website. A replay of both our call and webcast will be available later today on the IR site.
 I will remind everyone that forward-looking statements are inherently subject to risks and uncertainties. Actual results could differ materially from those currently anticipated due to a number of factors, including those set forth in the Risk Factors section in the company's annual report on Form 10-K. We undertake no obligation to revise any forward-looking statements unless required by law.
 Also during this call, we may discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items, which management believes can be useful in evaluating the company's performance. The presentation of non-GAAP financial measures should not be considered in isolation or a substitute for results prepared in accordance with GAAP. If non-GAAP measures are presented, you will find information regarding these non-GAAP financial measures and a reconciliation in the company's earnings release.
 And now, I would like to turn the call over to Sharon. 
Sharon John: Thank you, Gary. Good morning, and thanks for joining us for Build-A-Bear's Fourth Quarter and Fiscal 2023 Earnings Call. We are pleased to again report record results as we continue to execute against our strategy, which is focused on the evolution of our business model to profitably leverage the power of the Build-A-Bear brand. Fiscal 2023 represents the third year in a row of record results for Build-A-Bear. In keeping with this trend, and as reflected in our guidance in this morning's press release, we expect to deliver a fourth consecutive record-breaking year in fiscal 2024.
 Now to recap 2023. Specifically, for the fourth quarter, revenues increased nearly 3% to over $149 million, and we delivered pretax income of more than $26 million. While these numbers were within the previously provided guidance range, we would like to note that the results were softer than originally planned due to a combination of ecommerce disruption and some overall fourth quarter economic challenges accentuated by severe January weather. Voin will provide some more insights on that impact in his remarks.
 Turning the page to full year fiscal 2023 results. Revenues increased nearly 4% to a record $486 million, and pretax income increased 7% to over $66 million, also a record for the company. As noted, we attribute these 2023 results as well as Build-A-Bear's meaningful expansion and profitable growth over the past few years to the ongoing successful execution of our strategy and the evolution of our business model, which I will highlight in a moment. But first, to better understand the progress we have made as a comparison, fiscal 2023's $486 million in total revenue is up 44% from the $338 million generated in fiscal 2019, the last prepandemic year. Additionally, this revenue has delivered a significantly improved level of profitability. The $148 million revenue increase over the past 4 years generated an incremental $65 million in pretax income, and we have driven this financial improvement across all 3 of our business segments.
 As a reminder, our strategy is to deliver long-term profitable growth and is grounded in our most valuable asset, the power of the Build-A-Bear brand. In summary, the company's strategic initiatives are: one, the global expansion of unique experience locations, this includes the evolution of store types and business model; two, the acceleration of a comprehensive digital transformation, this ranges from systems upgrades to e-commerce integration to content creation; and three, the continuation of investment to support initiatives that leverage Build-A-Bear's now multigenerational brand to drive incremental profitable growth.
 Some of the recent progress that we've made in each of these initiatives include.
 First, our workshops are a critical part of what creates a valuable point of difference in the marketplace. Guests come to Build-A-Bear workshops for an experience in creating their own unique furry friend. This is why up to 80% of visiting guests create plans in advance to go to their local Build-A-Bear Workshop often in celebration of birthdays, holidays or special occasions. We cultivate these memorable and shareable one-to-one moments with guests through our exclusive bear building process. After building their unique furry friend, guest visits conclude with us collecting first party and loyalty club data from more than 80% of our customers, which enables us to directly communicate more meaningfully with them to drive further engagement and repeat purchase, whether it be on the Build-a-Bear website, watching content, sending a gift or coming back to a store, perhaps at one of our many tourist locations during their next family vacation.
 Given a store visit is the most common first step in a customer's Build-a-Bear experience. Plus our top-tier store economics and the independent research showing a clear market opportunity for additional workshops, we focused on the expansion of our store fleet post the COVID pandemic. You might recall, on our fourth quarter 2021 earnings conference call, we stated that we expected to add between 15 and 20 new partner-operated and corporately-managed retail experience locations over the next 2 to 3 years. Today, we are pleased to share that we opened 44 new locations in just the past 2 years, more than doubling the previously stated expectation. And existing international franchise partners have also started their post COVID expansion, adding a net 6 stores in 2023.
 In summary, between our 3 global experience location business models, net new unit growth was 9 stores for 2022 and 37 stores for this past year. Today, we are guiding to net new unit growth of at least 50 additional retail locations in 2024 on a global basis, which would bring the 3-year net new unit growth to nearly 100 stores by the end of this year.
 Our second strategic initiative has been an ongoing, comprehensive digital transformation that touches nearly every aspect of Build-a-Bear and is designed to elevate business efficiency, integrate customer communications and accelerate incremental opportunities like gifting and personalization programs. The ultimate goal is to create a cohesive digital store and marketing ecosystem that expands Build-a-Bear's addressable customer base and the lifetime value of our guests, in store, online or otherwise, to drive overall sales and profitability. One of the first steps in the evolution to becoming a more integrated omnichannel organization was to replatform and upgrade Build-a-Bear's ecommerce business. This helped to drive a tripling of total ecommerce sales since 2018, inclusive of the 2023 softness. That said, as we have noted in the past, we have much greater aspirations for our ecommerce business, as we believe the Build-a-Bear brand has a unique opportunity to expand into gifting more meaningfully.
 Gifting alone is a multibillion-dollar category. Therefore, after a multiyear digital transformation effort ranging from a new warehouse management system to the implementation of Buy Online Ship from Store abilities, the goal is to accelerate the move to the next step of the company's digital strategy. With that in mind, we have recently created the new role of Chief Customer and Digital Officer with a single oversight of both website and customer marketing. The position touches all points from digital to in-store, including loyalty and CRM, plus creative and guest services, and is designed to unleash the power of a much more integrated approach to driving the business. We expect this first of its kind structure for us to elevate and connect our messaging, while providing an appropriately personalized experience wherever, whenever and however our guests choose to engage with Build-a-Bear.
 Our third strategic initiative is the increased investment to support profitable growth. As corporate store operating margins remained above 25% for the third consecutive year and we have continued to shift to an asset-light, partner-operated store model, we have meaningfully improved the company's cash flows. Build-a-Bear's more consistent cash flow has allowed us to make longer term marketing investments in entertainment initiatives that we expect to be evergreen. The expansion of our annual Merry Mission marketing campaign in the fourth quarter is just the latest example of [ that ] opportunity. In conjunction with overall multifaceted holiday efforts, we released Build-a-Bear's first-ever animated theatrical film, Glisten and the Merry Mission, based on the characters and storyline of the multiyear top-selling holiday plush collection. And while we're excited about the film as a pure entertainment vehicle, we primarily look at it as another piece of a comprehensive content strategy.
 We are utilizing content and entertainment-related efforts such as the movie and in this case, as well as Merry Mission music videos, the Merry Mission gaming app, the Merry Mission section of our Roblox Build-a-Bear Tycoon game, and the transformation of Build-a-Bear workshops into temporary Santa's workshops during the holiday season as a comprehensive marketing effort to bring the company's entire customer facing communications to life through characters and compelling stories to drive awareness, engagement, affinity and ultimately, sales. With that in mind, although, as we mentioned, fourth quarter was lighter than expected, this marketing effort drove Merry Mission product sales up more than 65% year-over-year. With this multiple touchpoint marketing model in place, we expect Glisten and the Merry Mission to become a part of our annual holiday tradition.
 It is important to understand that none of this could happen without the power of the Build-a-Bear brand. But what do I mean when I say the power of the Build-a-Bear brand? Well, now that almost 250 million furry friends have been made over the past 25 years around the world, our guests have no doubt enjoyed untold numbers of special moments, smiles, stories, laughter and fuzzy hugs with their Build-a-Bear animals. These memories translate not just into the 93% aided brand awareness in North America that we enjoy, but more importantly into trust, affinity and preference.
 Over the past quarter-century, these special memories have made Build-a-Bear, in a word, beloved. In fact, just recently, WPP's brand analytics platform, BAV, recognized Build-a-Bear for many of these attributes on their list of the 20 most influential retailers across North America list. BAV notes that strong brands have deep emotional meaning for customers, and this is what gives a brand influence. We are pleased that by adding a little more heart to life, Build-a-Bear is recognized alongside with such iconic brands as Disney, Apple and Nike.
 With the continued opportunity to leverage that brand power, I will turn our outlook to 2024. Quarter-to-date, following softer February sales that were reflective of some of the challenges we had experienced in the fourth quarter, we entered March with a little bit of a positive change in trends. Although we are balancing this with the reported consumer spending concerns and some toy industry reports with downward expectations for 2024, we remain confident in providing guidance with the expectation of continued growth as we execute on the 3 key pillars of: one, store expansion with the expectation of net new unit growth of at least 50 stores globally; two, digital transformation, including our recent actions to advance the company's ecommerce business; and three, investment to support further growth.
 Build-a-Bear's new phase of sustainable free cash flow, combined with the business model shift to more asset-light partner and franchise stores, has allowed us to increase investment to support growth while also returning cash to shareholders. Over the past 3 years, we have returned more than $90 million to shareholders through stock repurchases and 2 special dividends while remaining debt free. Reflecting Management's and the Board's confidence in Build-a-Bear's continued financial performance, we are now initiating a regular quarterly dividend of $0.20 per share, while continuing to buy back our stock. Overall, we remain pleased with Build-a-Bear's record-breaking results in 2023, as well as the many accomplishments of this year. We are also thoroughly excited about the opportunities across nearly every aspect of our business for 2024 and beyond.
 Finally, one of the most exciting efforts to watch for is the rollout of a comprehensive new brand campaign. This campaign is designed to further expand the appeal of Build-a-Bear, while simultaneously connecting multiple generations to a universal message designed to put our beloved brand right in the middle of the collective conversation. Again, the multidimensional campaign will be launched across all consumer touchpoints and is called the Stuff you love. Beyond the obvious double meaning of the word Stuff, the big idea relates to Build-a-Bear not only as one of the things that is loved, but that Build-a-Bear both enables and indeed is often woven into the memories about all the stuff we love.
 In closing, after over a decade of service to this brand and company, I can truly say that I'm sincerely appreciative to Build-a-Bear's associates, guests and partners as we continue to work toward our mission of adding a little more heart to life.
 And now I would like to turn the call over to Voin. 
Vojin Todorovic: Thank you, Sharon, and good morning, everyone. It's good to speak with you again today to share our results for our fiscal fourth quarter and full year of 2023. Before I touch on our financials from the past year, I want to recap a few highlights.
 First, we are pleased that we delivered our third consecutive year of record results as we grew across all segments, expanded gross profit margin and increased pretax income versus last year. In addition, earlier today we announced our 2024 outlook, reflecting expectations for another record year. Also, as the result of our solid business performance and strong cash flow generation over the past 3 years, we have paid 2 special dividends and repurchased more than 1 million shares of common stock, returning over $90 million to shareholders. To put this in perspective, this return of capital to shareholders represents approximately 30% of our current enterprise value. On top of this, our Board has approved the initiation of a $0.20 per share quarterly dividend, showing confidence in the company's ability to sustain profitable growth based on our long term strategic plans.
 Now moving to our financial results, starting with a more detailed review of the fourth quarter that reflects 1 extra week compared to the prior year. Total revenues were $149.3 million, up 2.9% year-over-year. Net retail sales increased 1.5% year-over-year, with a positive contribution from stores due to the extra week and an 8.8% decline in ecommerce demand. Store sales were particularly impacted by a 2-week stretch of bad weather in January when we experienced over 250 days of store closures. Our traffic was up, but we saw a decline in dollars per transactions for the quarter.
 Commercial revenue, which primarily represents wholesale sales to our partner operators and international franchise revenue, rose a combined 31.1% versus the prior year. Gross margin was 56.4%, an improvement of 140 basis points compared to last year, benefiting from merchandise margin expansion reflective of lower freight cost and leverage of distribution costs. SG&A expenses were $58.5 million, or 39.2% of total revenues, compared to 36.9% of total revenues in the 2022 fourth quarter. The 230 basis point increase in SG&A was driven by an increase in marketing expenses, higher wages due to inflation, the addition of talent and other investments to support future growth. Even though SG&A was higher with growth in gross profit dollars, we delivered $26.2 million of pretax income, nearly flat to last year. EPS increased 12.9%. On an adjusted basis, EPS decreased 3.6% as our tax rate increased from 22% to over 27% as we removed the benefit of the release of a tax valuation allowance.
 Now moving to highlight a few of our full year results. For fiscal 2023, total revenues were $486.1 million, up 3.9% year-over-year, which included the extra week in the fourth quarter. Net retail sales increased 2.2% year-over-year and were up close to 70 basis points excluding the extra week. For the year, our store traffic again outpaced reported national retail traffic. Our transaction growth was positive for the year while dollars per transactions were down low-single-digits.
 Ecommerce demand was down 5.8% for the year and our commercial and international revenue rose a combined 37.7%. Pretax income grew 7.1% to $66.3 million for the year. Higher gross profit dollars more than offset the increase in SG&A and led to pretax margin expansion of 40 basis points to 13.6% of total revenues. Excluding the benefit of the 53rd week, pretax income grew approximately 3%. Earnings per share was $3.65 per diluted share, a 15.9% increase, aided by a lower share count in a decrease in the tax rate due to the release of valuation allowance. On an adjusted basis, EPS was $3.42, an increase of 8.6%.
 With respect to the balance sheet, at year end, we had cash and cash equivalents of $44.3 million, an increase of $2.1 million compared to year-end 2022. This was after returning $42.4 million to shareholders through a special dividend payment and share repurchases during the year. Inventory at year-end was $63.5 million, declining $7 million or 9.9% from the end of the last year. We remain comfortable with the level and composition of our inventory.
 Turning to the outlook, the full details of our guidance are included in our press release, but I will highlight a few key metrics compared to fiscal 2023, excluding the impact of the 53rd week. We currently expect total revenue to grow on a mid-single-digit basis. This growth is partially driven by the addition of at least 50 net new experience locations, with the majority coming through partner-operated expansion, both internationally and domestically. Our revenue growth will be back-half weighted as we add locations, as well as due to a more favorable fourth quarter comparison. In addition, the timing of shipments and the opening of partner-operated locations may create some differences compared to last year.
 We note that commercial revenue has a particularly difficult first quarter comparison, but with our expectation that partner-operated stores will be the majority of new store openings this year, we still expect strong growth in this segment on a full year basis. Pretax income to grow in the mid-single-digit range on the full year basis, but we expect to have unfavorable timing of marketing expenses in the first quarter of the year, as we launch our new comprehensive brand campaign, the Stuff you love, and continue the integration and evolution of our digital transformation strategies to optimize customer lifetime value. Our outlook also reflects increased freight costs caused by conflict in the Middle East and ongoing wage and inflationary pressures and increased depreciation expense.
 In closing, I would like to thank all our store and warehouse associates as well as corporate team members for contributing to our record results, which has positioned us for our fourth consecutive record-breaking year in 2024.
 This concludes our prepared remarks and we will now turn the call back over to the operator for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Eric Beder with SCC Research. 
Eric Beder: A few quickies here. Could you talk about what we should be thinking about in inventories, going forward? You guys did an outstanding job of managing inventories last year. How should we be thinking about it now with slightly rising shipping costs and some other pieces going forward here? 
Vojin Todorovic: Thanks for the question, Eric. Definitely. Inventory management has been one of our focused areas over the last several years as we managed through COVID as well as we came out of it trying to mitigate some of the challenges as it relates to increased freight costs due to COVID-related challenges. Some of those things are behind us from the COVID perspective, but at the same time, due to the nature of some of the conflicts and impact on the shipping lane, the costs are starting to creep back up again. So we do expect to have some headwinds as it relates to freight. That will also impact our inventory by the end of the year, assuming those freight costs stay at that same level.
 In addition to that, as we continue to grow our partner-operated business and expand store location, there is probably going to be some additional need for working capital and some more inventory and we will continue to manage that, so that is creating some timing. As again, as a reminder for everybody on the call, our shipments to our partner operate locations are on a wholesale basis. So depending on the fulfillment and opening of these stores and replenishment to these stores, there is some timing that may be a little bit different than timing in our retail locations. 
Eric Beder: Great. And could you provide us kind of a thought process here in terms of how we should be thinking about the returns on these commercial and international, where these partners were going through? I know that the gross margin is a little bit lower, but what should we be thinking about in terms of the operating margin for these kind of businesses? And on a related note, how do you look at the expansion into potentially new areas for franchising and for commercial? And how we should be thinking about that beyond the 50 or so that you have here? 
Vojin Todorovic: I mean, great question. This is one of those areas of growth for the company. We believe, especially as we think on a global basis, that there is more opportunities for us to grow our international footprint. And actually yesterday, we opened our second store in Italy, in Rome, so we continue on this journey. That's part of our expectations, to continue to grow these partner-operated locations [ is -- and ] expanding new markets and more to come in the future as we continue to work with different partners across the globe.
 Also, this particular model is one that we like from the capital perspective and it's very asset-light. Our partners are making the investments in stores, in inventory, we sell to them on a wholesale basis. As you think about the margins that we are getting, this is one of the areas where we don't get a full top line sales. So when you are thinking even about the growth that we are guiding to, that's reflecting our wholesale sales to these partners. But we are getting the high-margin dollars on that business, and that's helping our overall profitability and we continue to leverage our fixed overhead with some of the investments that we are making there. So we believe that this is going to be very accretive for us as we go into the future.
 And as we have said in the past, like we expect that this to be a big opportunity for us. For many U.S.-based companies, it's common to think that we could have as many stores outside of U.S., as we have in our domestic market. 
Operator: Our next question comes from the line of Michael Baker with D.A. Davidson. 
Michael Baker: A couple. Just a -- I wanted to start by following up on that. These 50 partner locations, can -- any color on like where they are, are they experiential-type places like vacation destinations or just, I presume a lot of them are outside of malls. Just sort of wondering what kind of locations we can think about for where those will be? 
Sharon John: Thanks for being on the call. I'm going to start and I'll hand it over to Voin for some more color. At first, I just want to be clear, we haven't specified exactly which business model all of these 50 new locations are. And just to be clear, and I know this can be a little bit confusing. It can be a corporately-managed store, a commercial store, or a franchise store. We're speaking strictly in the construct of where we're going to have retail locations. And the reason that's important is because those are 3 different segments of our business model, and they all have different economics that are associated with them. So some of those 50 stores are going to be corporately-managed stores, which require more capital, and some of them will be partner-operated.
 So in the ones that are partner-operated or they can also be corporately-operated, they -- we do actively look for tourist locations. We shared that with you guys some years ago that we had done a cohort analysis of when we were still about 20% of our stores were unprofitable, trying to triangulate where we were successful. And one of the big insights there was that we over-indexed on almost every key metric in an area where we calculated that 50% or more of the sales were to people 50 or more miles away. And it didn't really matter if that was a mall, if it was Mall of America or a standing location at a beach. So they have an interesting dynamic, but we have since focused on those types of locations. And again, sometimes we operate those and sometimes they are partner-operated, but that will be our focus on areas that we think clearly hurdle easily to some degree, the metrics that we have in place to decide whether we open that location or not.
 I think, it's important to note Voin's comment about the international opportunity that we have, and to reiterate some of the comments that I made in my script about -- that we did have some independent research about the concept of how many additional locations we believe are -- there's an opportunity for Build-a-Bear to grow even domestically. 
Vojin Todorovic: Yes. And as we continue to look at some of these locations, clearly what we have said in the past that we overindexed in tourist locations. And as we grow definitely around the world, especially with a couple of these stores that we open in Continental Europe, there are going to be some more of these tourist destinations and malls. And we -- as we are working with our partners that are going to be opening majority of these locations, we want to be in best places that are going to drive traffic and really present our brand in the best possible way. And in 100 of these -- 100% of these sales are going to be profitable for us, so we are very happy that we can do some of these things in an asset-light model as we continue on the journey to expand our brand, globally. 
Michael Baker: Yes. Yes. It makes sense. Clearly, a positive -- positive ideas. Two follow ups. One, I'm always just curious, can you talk about Bear Cave type sales versus Birthday Parties or those types of products? And then you had said ticket per transaction downed. Is that -- do you think that's an economic issue? People sort of spending a little bit less each time they come in? Or just wondering if there's any color as to why ticket -- what's going on with ticket per transaction? 
Sharon John: On the Bear Cave comment, we don't break down the sales of specific areas, particularly on our website. So Bear Cave is a microsite inside of buildabear.com, that has an age gate that's focused on the older consumer. And as you might -- as some of you might have noticed, we get a lot of press about some of the products that we offer in Bear Cave. We were actually on the cover of the Wall Street Journal around Valentine's Day with one of our devil bears, but they're very cute and it's -- and we do a robust business. And most importantly about that business is it's a consumer that's outside the core -- our core consumer base. These are adult purchases, often adult-to-adult gifting. And it fits right into our broader strategy of appealing to a multigenerational audience.
 On the Birthday business, we've often shared that sales associated with birthdays, whether it's a birthday treat there all the way to a party inside of one of our stores, is about 1/3 of our total business. Now, we love the Birthday business, and we created that Birthday Treat Bear, which is a bear where you can come in and pay your age for -- in the month of your birthday. And we use that as our #1 acquisition tool for our core consumer. You have to be in the loyalty program to participate in the Birthday Treat program. And so that really builds our first-party data and allows us to communicate.
 Again, as I noted in the creation of this ecosystem to drive lifetime value. It gives us that direct communication to that consumer and to reengage with them for other opportunities inclusive of the next birthday that their child maybe hopefully wanting to participate at Build-a-Bear, or if they come in on the Birthday Treat there, we would clearly encourage maybe a party the next year. So it's a great acquisition tool for us, and we still have, although we've done a great job, I think we have a tremendous opportunity to keep stretching out that lifetime value with that strong acquisition tool. 
Vojin Todorovic: And to add a little bit more color on your question about changes in dollars per transaction, I'll start first, as I mentioned in our prepared remarks that our traffic was up on a full year basis. So we continue to execute on our initiatives to continue to drive traffic to stores. And we are very pleased that we continue to outpace national traffic quarter-after-quarter, year-after-year. As customers are coming to our stores, there is some softness when we are -- and we said that our dollar per transaction is down, there are a couple of things that are impacted.
 Definitely, we believe there is some impact that's external from the macroenvironment. As you guys are reading about the reports from the overall toy industry and how it's been challenging in the Q4 in particular, our performance and some of those changes are probably better and less impacted, compared to the rest of the industry. But at the same time, there are a couple of other internal things that are shifting. And one of those things is what Sharon just talked about, the Birthday Bear [ renew. ] It's like our #1 acquisition program. And as we are getting the new guests into the program, that the transaction value of those particular guests when they come in and interact first time with the brand, it's lower than our average transaction. And that has been the increasing component of our business. So that's also impacting our overall decline in dollar per transactions.
 But we are still pleased that we continue to drive traffic, that people are coming to our stores and that they are spending their money and their discretionary income in our locations. And so we will continue to work on areas to create excellent experiences for them and continue to drive our top line growth. 
Operator: Our next question comes from the line of Greg Gibas with Northland Securities. 
Gregory Gibas: Curious how own store comp sales performed, ff you back out that extra week in Q4? 
Vojin Todorovic: Well, clearly, what we said -- in Q4, we had $149 million in total revenue that was 3.9% growth year-over-year. The impact of the 53rd week was about $7 million. So our sales were down overall. We also said that our web demand was down about 8.8%. So even though we were overall down, the impact on the -- even though we don't talk about the same-store sales, but the retail sales is a smaller impact than what was in -- on the web demand. 
Sharon John: And just for clarity, when you say owned stores, you're talking about our corporately-managed stores. All of that data is based on our corporately-managed stores. We're not including partner-operated or franchise stores in that particular data. 
Gregory Gibas: And curious if we kind of ex out the additional 50 stores at least, curious what your kind of implied comp store sales growth is in the 2024 outlook? 
Vojin Todorovic: So we are expecting to grow, as I mentioned in the remarks, if we adjust for 1 extra week, we expect to grow in mid-single-digit range year-over-year. A lot of that growth is going to be coming from these additional net 50 new locations. Again, that may be back-half weighted, as we continue to add stores and our partners open them. So that portion of that growth, in addition to that, we expect our ecomm business to recover with the digital transformation that's in place, as well as we would expect improvement in our base business as well. 
Gregory Gibas: Okay. Fair enough. And really nice to see the anticipation of an acceleration in new store sales from I think it was 37 in 2023 going to at least 50 as expected. And I know, you previously -- just kind of a follow-up, you previously said you're not really specifically breaking down, but I was curious if you could talk about maybe the rough mix on I guess first corporate versus partner-operated and franchise. Maybe like the rough breakdown, is it like 50/50? And then also international versus domestic? Given your commentary on a lot of opportunity internationally, just curious what maybe rough breakdown would be international versus domestic for those new stores? 
Vojin Todorovic: So -- that's what we have shared, that we expect majority of these locations to be partner-operated of the opening. So there's going to be definitely more than 50%, like we are not providing the specific color on some of those. Again, some of this also depends on the timing and flexibility in openings. Again, as we are opening these locations, some of this is outside of our direct control and there are supply chain challenges and impacts. But we feel good about the overall number that we are guiding and how that's going to open and where it's going to open. It's still in works.
 From the partner-operated perspective, a big portion of that we would expect to be in international markets, as we continue to expand in those. So again, just because of all those reasons that I highlighted a second ago. I don't want to break some of those numbers at more detail, but we also expect our international franchise business to have some opportunities, and we are planning to expand internationally. So it's, again, beginning of the journey in some of those markets now that we are behind COVID and we are opening, as we mentioned, we have first 2 stores in Continental Europe in many years, so we are excited about that. And they are going to continue to open throughout the year, and we will be providing more context as we have more information to share. 
Sharon John: I guess, the one thing that I would add to that is, clearly that 50 stores is a -- for us, it's a pretty long pipeline, and so there is -- and we're planning years out beyond that as well, without providing any specific detail on that. But we have to, as Voin was saying, particularly in partner-operated and even in corporately-managed, these are leases that we're working with, with other partners. It's not a unilateral decision on which store or what kind of format it is. And even in some partner locations, sometimes we end up running a corporately-operated store. So that's why we're being not as crystal as we probably could be. It's because sometimes it's down to the last portion of the negotiation on what form the store actually takes. And yes, and Voin mentioned we just opened in Rome, but as you might recall on the last earnings release, we discussed the excitement and the positive reaction in the Italian market when we opened in Milan. So that opened just yesterday, but we're quite hopeful we'll see the same sort of impact. 
Operator: Our next question comes from the line of Steve Silver with Argus Research. 
Steven Silver: Congratulations on the new dividend policy, the underlying confidence in the business that must have helped inform that decision. I appreciate the color on the positive impact that the Merry Mission movie had across all the various touchpoints across the business. I'm just curious as to whether there were any surprises or any unexpected lessons that you learned going through that process that you expect to now be able to leverage in future content projects? 
Sharon John: Well, there's always things that we learn, particularly with a new initiative. When we -- that was our first, as I mentioned, theatrical animated feature, and we made the decision to do that with Merry Mission because we were already -- we had already enjoyed multiple years of success with these characters and the marketing of the storyline and already had an app, and we had a real sense of -- that this would be something that we would hope would resonate with guests. Additionally, because, and I mentioned it in the call the power of the Build-a-Bear brand, we were able to secure a talent level that would typically, I would think, not be that normal for a "Specialty retailer, creating a film." So from Chevy Chase to Julia Michaels, it's was a -- it's a really fun adventure for moms and kids alike.
 So we went into this with eyes wide open in terms of looking at it like we do so much of our content creation as a primary marketing tool, something to make it a center point of what we do, a reason to communicate and spread it across everything that we do to create a comprehensive impact on the guest. And so from what we learned -- well, we didn't expect that we would have a theatrical release, just -- that was not part of a thought process. But we were able to create a partnership with Cinemark early on, for exclusive theatrical release in October and early November. And that was an interesting -- we've never been a theatrical marketer before. So that was an interesting process for us. And we were pleased that people were willing to come out to theaters and see our film.
 And we believe that we could actually next year, because what we're trying to create, and I believe we have created, is an evergreen concept that we don't have to reinvent the marketing for the holidays every year. If you think about the longevity of holiday films that are targeted to kids, we will have a Merry Mission tradition marketing campaign next Christmas. And each year, I would hope that we would learn something and improve. And I expect that look to be the case next year as we look through our marketing programs, look through our communications, look through our content, and as well as the media plan on how we can elevate not just the Merry Mission program, which we shared, was up significantly, but to raise the water level of everything that we do. 
Operator: Our next question comes from the line of David Kanen with Kanen Wealth Management. 
David Kanen: The first one is in the guide for 2024, mid-single-digit growth. What is -- it looks like if I back into it, you're expecting same-store sales to decline for the year. Can you give me an approximation on that? Or please correct me if I'm wrong, and you expect it to grow. 
Vojin Todorovic: I just think I answered that question just a minute ago, but I'll go again through this exercise. So as we talked about the mid-single-digit growth year-over-year in our guidance, that's compared on an adjusted 52-week basis, [ 22 ]. And we expect our growth to come from the store base as well as from our ecomm base. In addition to that, we would expect to see growth from our base business as well. We haven't quantified that growth and that number, but we expect to grow that portion of the business as well. 
David Kanen: Okay. And then on ecommerce, I know it was down and the comparisons were more difficult. Do you expect in 2024 ecommerce to resume growth? And if so, is it similar to the overall guidance of mid-single-digit? 
Vojin Todorovic: We haven't specified specifically for ecomm, but again, based on some of the challenges we have seen in 2023, we believe that, that particular segment, with all the digital transformation initiatives that we have in place, should be growing at a faster pace than some of the other initiatives. 
David Kanen: Okay. So are you thus far in 2024, have you seen the trends reverse to positive in ecommerce? 
Vojin Todorovic: Yes, we have. 
David Kanen: Okay, great. And then final question. I'm not sure if this is meaningful or not, but this new product, SKOOSHERZ, was that -- I know there's a lawsuit there and a claim that you've infringed upon them, but is it a meaningful product? I know it just launched. Was it a significant contributor to the quarter or it's essentially de minimis. And therefore, even if you lose that, it's not going to affect results. Any color you can provide there is appreciated? 
Sharon John: Well, first, I'd just like to note that Build-a-Bear is a 25-year upstanding intellectual property holder, and we understand intellectual property law and that SKOOSHERZ is based on many of our preexisting animals. And we are excited about the concept. But to your -- more specifically to your question, clearly, we just launched it, so currently it would be immaterial, which is why we didn't mention it in any of our comments today. 
Operator: Thank you. And we have reached the end of the question-and-answer session. I'll now turn the call over to Sharon John for closing remarks. 
Sharon John: Thank you for your time today, and we look forward to speaking to you at our first quarter call. Have a nice day. 
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.